Martin Sorrell: So good afternoon from London. Good morning in New York, wherever you are. I'm joined in London by Radhika, our CFO; Scott Spirit on my right, Chief Growth Officer; and Jean-Benoit, our Chief Operating Officer on the extreme left. We have Bruno Lambertini, who runs our Marketing Services business from Miami. I think he's still in Miami. Thanks for getting up relatively early this morning, Bruno, for being with us on this call and where's to heart is in Amsterdam. So we're going to cover the results. Radhika is going to cover the results for the first half of 2025, then Scott is going to talk a little bit about what we see going on in the market and with clients. Wes is going to cover artificial intelligence and its impact on our business currently and in the future. And then I'll just do a brief summary and outlook before we take any questions if there are any. So Radhika, over to you.
Radhika Radhakrishnan: Thank you, Martin. Good morning, good afternoon, and thank you for joining us today. I will start with the financial headlines for 2025. Performance in the first half was impacted by volatile global macroeconomic conditions, tariff uncertainties and larger tech clients, which represent almost half of our revenue, continuing to prioritize capital expenditure on expanding AI capacity. Net revenue was GBP 328.2 million, down 10% on a like-for-like basis and 12.7% on a reported basis. Operational EBITDA was GBP 20.8 million, delivering a 6.3% margin in the period. Adjusted operating profit was GBP 16.4 million and adjusted earnings per share was 0.2p compared to 1.2p in the prior period. We closed the period with a net debt of GBP 145.9 million compared to GBP 182.9 million at 30th of June 2024, an improvement of GBP 37 million. The month-end average net debt for the period improved by GBP 52 million, about 27% from GBP 196 million to GBP 144 million. The company generated GBP 16 million of free cash flow in the first half of 2025, reflecting strong focus on working capital management. Leverage was 2x pro forma 12-month operational EBITDA versus 2.2x this time last year. Moving now to the income statement. Revenue of GBP 360.4 million, down 11.9% like-for-like and 14.7% reported. Net revenue decline reflects the general client cautiousness given the wider challenging macroeconomic conditions. We continue to have a disciplined approach to cost management. Personnel and operating expenses were reduced by 11.2%, and the number of months at the end of the period was around 6,900, 4% lower than December 2024. A cost reduction plan is being actioned in the second half of 2025 to align our personnel cost to revenue ratio down from 76% towards the industry averages of 65%. Operational EBITDA was GBP 20.8 million with a 6.3% margin, down 190 basis points like-for-like and 170 basis points on a reported basis. Finally, net finance expenses, which mainly relates to the long-term loan increased primarily due to adverse foreign exchange movements, partially offset by the reduction in the interest rate. Looking at our 2 practices now, Marketing Services and Technology Services. We reorganized into 2 practices at the beginning of the year, 1st of January, with Marketing Services reflecting the legacy content and DDM practices. My comments here are all on a like-for-like basis. Net revenue in Marketing Services was GBP 299 million, down 6.4%, reflecting the timing of new business wins and ongoing client cautiousness. Technology Services was GBP 29.2 million, down 35%, reflecting longer sales cycle and reflecting the revenue reduction by a major client, although this will cycle out in the second half of this year. From a regional perspective, the Americas, which includes Technology Services, was down 9% and accounts for 79% of our revenue mix. EMEA declined 13% and Asia Pacific declined 15%, accounting for 16% and 5% of the mix, respectively. Moving on to operational EBITDA by practice on the next slide. Again, my comments are on a like-for-like basis. Marketing Services operational EBITDA was GBP 28.5 million, down 14% with a 9.5% margin. The revenue shortfall was partially offset by the reduction in the number of months and other cost efficiencies. Technology Services operational EBITDA was GBP 2.6 million, down 57% with an 8.9% margin. This was primarily impacted by longer sales cycles for new business. And as I previously mentioned, the revenue loss from a key client, which will cycle out in the second half of this year. Moving to the next slide. We continue to maintain a strong balance sheet with sufficient liquidity and long-dated maturities. We ended the period with net debt of GBP 145.9 million, an improvement of GBP 37 million from GBP 182.9 million as at the end of first half 2024. Leverage is 2x against 12-month pro forma operational EBITDA, an improvement from 2.2x as at 30th of June 2024. There is headroom against the key covenant of 4.5x pro forma operational EBITDA. The EUR 375 million term loan matures in August 2028 and the GBP 100 million RCF remains undrawn, GBP 80 million of which facility extended to February 2028 on the same terms. I'll now move to the cash flow side. There was a working capital inflow of GBP 19.2 million in the first half of 2025 compared to GBP 4.2 million in the prior half year, reflecting the strong focus on working capital management. Capital expenditure of GBP 2.1 million is primarily related to IT equipment. Interest paid includes the lower cost of our term loan, while lower tax paid reflects our performance in 2024. Restructuring and other one-off expenses include GBP 6.3 million of restructuring payments and finance transformation projects of GBP 2.6 million. Free cash flow rose to GBP 16 million compared with GBP 3.1 million in the first half of 2024. We can now move to the net debt bridge slide. Net debt, as I mentioned before, was GBP 142.9 million as at 31st of December, which translated to GBP 160.4 million at the closing exchange rates. The group generated GBP 16 million of free cash flow in the period, contributing to the closing net debt position of GBP 145.9 million, which is 2x leverage against 12-month pro forma operational EBITDA. Turning now to the guidance for the remainder of 2025. Full year like-for-like net revenue is now expected to be down by mid-single digits. However, we continue to target like-for-like operational EBITDA to be broadly similar to 2024. We expect a stronger second half performance with a greater weighting than in the prior year, enhanced by the impact of new business revenue, including wins already secured and further incremental cost reductions, which are currently being actioned. We forecast a net finance cash charge of around GBP 29 million and an effective tax rate of 30% to 32%. Our expectations for net debt for the year-end is in the range of GBP 100 million to GBP 140 million as we continue to focus strongly on cash flow management. As net debt is reduced and falls below GBP 100 million, our capital allocation policy will return cash to shareowners through a mixture of dividends and share buybacks. With that, I will hand over to Scott for the market update.
Scott Spirit: Thanks, Radhika, and thank you for joining us, everyone. In the past 2 years, we've had some challenges, which have impacted both our growth and our margins. In 2023, the tech companies unexpectedly pulled back aggressively with significant redundancies and cost cutting, addressing their expansion post COVID. Meta referred to this as a year of efficiency and others followed suit. Sales and marketing expenditures were reduced across the board, having historically posted strong double-digit growth. This approach to cost discipline continued in 2024, driven by their strategy to invest significantly in CapEx, primarily hardware and software related to artificial intelligence. In 2024, the hyperscalers, Google, Meta, Amazon and Microsoft increased CapEx investment 56% to almost $250 billion. And this meant further pressure on operating and marketing budgets in '24 with Amazon flat and Google and Meta both down. This affected our competitors, too, but given we have almost 50% of our revenues in technology, it had an outsized impact on our ability to grow. The relationship with Mondelez ended in '23. And in 2024, First American, a tech services client, saw very significant pressure on their business given higher interest rates and as a result, decided to ramp down the work streams they had with us. High interest rates and economic uncertainty led to client caution, which impacted our project-based business, especially our ability to win new remits locally. We paused our M&A strategy in 2022 after 30-plus transactions in 5 years, the scale of which posed some challenges for us from an integration perspective and a need to focus internally. And finally, with declining revenues, despite cuts and cost controls, our staff cost ratios remained in the high 70s versus an industry average of 65%. And the challenges we've had with our revenue trajectory have made it difficult to align costs with revenues. The first half of 2025 has continued to be challenging, but we've been addressing these issues to rebuild our foundations for growth and have seen progress, which makes us more optimistic moving forward. Firstly, the pace of tech client spend cuts has slowed. Whilst the investments in CapEx continue to grow at a significant pace, the operating expense cuts I mentioned earlier have stabilized with the declines in sales and marketing expenditures moderating towards the end of 2024 and stabilizing so far in 2025, particularly at Google, our largest client, as they start to invest in differentiation for their AI products in a highly competitive market and illustrate some ROI on their CapEx investments. Second, we continue to innovate our product. We originally launched our AI platform, Monks.Flow at CES in January 2024. And over the course of the past 2 years, we've continued to innovate, win awards, bring onboard partners such as NVIDIA, Adobe and Runway and implement at scale with existing clients such as Google, BMW, SC Johnson and Amazon. We've also developed and started to convert a specific AI-focused sales pipeline, and there'll be more of this later from Wes. Thirdly, with client wins. The whopper client losses are mostly out of our comparables, and we've had a stronger pipeline and new business performance recently, starting with General Motors a year ago, and we've had a regular cadence of significant wins, including T-Mobile, Amazon, PIF and more recently, a leading U.S.-based FMCG, which we will announce soon. Whilst the overall number of months has declined, we have continued to hire and increase talent across country regional management, capabilities growth and client leadership, talent who are now driving those new business wins. And we've also made hires with an operational focus on the optimization of pricing, utilization, billability and improving our margins and getting staff cost ratios in line. Finally, on centralization and cost control, from an integration perspective, the mergers are all now fully integrated, and we go to market as a single brand, amongst. We have centralized key functions such as finance, legal, HR and IT, and the company operates on the same platforms such as Slack, Salesforce, Workday and Google Workspace. Our migration to a single ERP is well underway and will be completed in early 2026. We've simplified the business around marketing and technology services, and we have a clearly articulated organizational structure based around geographical leadership and capability expertise. We have and continue to implement cost controls with the goal of getting our staff cost ratios in line with those industry averages. So overall, with positive new business trends and some stabilization in tech company spend, continued progress in our AI product offering and a strong focus on cost, we anticipate an improved performance in H2. We reiterate our EBITDA guidelines for 2025 and are set up well for 2026. From a client perspective, we have a really compelling client list with some of the world's leading and most innovative companies. In 2024, 9 of them are what we call whoppers, that's with revenues of $20 million plus, which is a differentiator for a company of our scale. Most of our direct competitors have a much more fragmented client list with smaller relationships. As you can see, we continue to have a significant presence in the technology industry. You can also see the GM win has positively impacted our auto share and other recent wins have been in telco, financial services and FMCG. These are strong relationships that help us attract and retain talent to work on them. The continued softness we're seeing in technology client spend, the First American decline in our tech services practice have had a negative effect on the average revenue size of our top 10, 20 and 50 clients. But this is primarily driven by reductions in spend rather than lost business. With that, I'll hand you over to Wes, who will update you on our artificial intelligence initiatives.
Wesley ter Haar: Thank you, Scott, and hi, everyone. I'll spend 10 to 15 minutes on the AI update. As we just heard, we are seeing compression in the traditional parts of the advertising and marketing services business. I think where we differ is a very aggressive focus on the opportunity that AI disruption offers and the strategic changes we're making to our full company, team size, organizational structure, operating model because by doing that, we believe we can take full advantage and capitalize on these trends. So talked about earlier, we're in the midst of reshaping our business to be fully AI-enabled. I actually just came out of the session here in our local office. The current cost reduction exercise is a part of this approach. That improves our prospects heading into H2. We also believe it sets us up well for next year as it will allow us to continue to build on our own transformation. That means strengthening even further our new capabilities, scaling out Monks.Flow, which I'll talk about in a moment, and then also the ongoing upskilling of our workforce. If we go to the next slide, we said on day 1, Slide 1 of our very first AI update nearly 3 years ago that AI changes the economics of advertising. The services we launched then are the key drivers of our new business growth today. So we have our consulting revenue, which is up strongly year-over-year, admittedly from a small base, but we expect the interest in this service to continue. We've also added 2, to Scott's point, whopper clients in the last 12 months, where we have both GM and the FMCG mentioned earlier, choosing amongst really clearly because of our industry-leading AI offering. And the reason that we are fasting first when it comes to that offering is that we believe AI is eating the agency business. We don't believe that's controversial to say. It collapses the cost of creativity, collapses the cost of media management. And whether agency leaders admit that or not, clients know that, that is true and they want it. We estimate about 65% of the task agencies get paid for currently could be done by AI agents within today's technology. And keep in mind that today is the worst that technology will ever be. One of the most powerful go-to-markets we've seen is our agencies, the agents go to market with a very clear promise. We're going to help you reduce the cost of the full marketing supply chain by adopting AI quickly and adapting to it from an organizational perspective. We can go to the brave slide. We call this the brave slide as it takes a certain level of [ bravery ] for clients to fully commit to this level of change. But those that do, which means where do you have people in the lead, but are you offloading more and more manual efforts to Agentic workflows? Where do you put people in the loop versus in the lead? And how do you get to mass marketing as a service? We're on that road map with quite a few clients now, and we expect that to take 2 to 3 years at most. The conversation we have quite often with analysts, especially is where does the money go? We're seeing it play out in a few different ways. So for our most forward-thinking clients, they are moving away from paying for time and material, the idea that the hours a person spent on something is a good proxy for value feels quite outdated, which means we're actively initiating a shift to value-based models. That means annual recurring revenue for our software, output-based billing for our services. And if you look at our current revenue, that's relatively small as a percentage today. We do see that as a way to align our business with the future broader shift of corporate spending, which clearly is towards AI automation and intelligence and away from the human hour. The other areas where we see the money moving is partly in consulting services and partly in system integration. A key part of our strategy here is monetizing partnerships with some of the world's largest technology companies. At the enterprise level, you're talking about the NVIDIAs, the Google Clouds, the AWSs and Adobes of the world. We're also very well connected to the emerging layer, think about newcomers like Runway and Luma. There really is no future for marketing services where there's no deep technological expertise and really operating as what I would call a system integrator for the AI economy to get the scaled impact. Both of these, of course, consulting and system integration are core capabilities for Monks, which makes us a change agent, and I would say, choice for the modern marketer. That is reflected back at the industry reputation level. So last year, we were the first ever AI agency of the year with Adweek. This year, we are the first ever AI pioneer at the one show. We most recently added AI awards from Digiday. If we go to the next slide for some of our work with Headspace, which is very practical, very viable and sellable for our clients. We also just got note of another AI award that's still under embargo, but we should be able to communicate relatively quickly, specifically for Monks.Flow as a technology solution. What this confirms is that we are innovating at a substantially higher clock speed than our competitors in both the agency and the consulting landscape. And while change of this magnitude is never easy, and I think I can speak for our whole team that we would like nothing more than to move faster with this change. The markets where we are most progressed in our own transformation are showing positive results. What are positive results, significant increase in year-over-year pipeline and a clear up-leveling of our strategic importance to our clients. I think that strategic importance is quite interesting to illustrate it. Members of our team have been the key AI speaker at well over 50 client and industry events since our last session together. I think we're broadly seen as the strategic partner that is both very transparent about what's happening and can help you go through that transformation because of 2 reasons. And this really comes down in a very simplified way to why clients are choosing Monks. One is our agents and one is our expertise. So if we start with agents, we were the first to launch an AI solution for marketers with Monks.Flow. We called it Flow for a reason because we have been very consistent in our strategy that this is about transforming workflows. The importance of this was recently confirmed by MIT. They launched a report that said 95% of Gen AI pilots fail. And why do they fail? Because people were using generic tools, which might be slick enough for a demo, but are way too brittle for enterprise adoption at scale. If we go to the next slide, that's where the Monks.Flow ecosystem really shines. A large technology client just put Monks.Flow through a very rigorous testing and benchmarking process, and we're proud to say they are now recommending it strongly to their teams across the globe, which really shows that we are able to not just compete but beat industry peers, making [indiscernible] GBP million plus AI investments. If we go to the next slide, I think another important note for anybody that was at Cannes Lions this year, you'll know we were also the first to launch fully functioning AI agents as part of Monks.Flow across the marketing supply chain, which was easier for us to do because of our focus on workloads. It's made it a very natural evolution. It means that we are now packaging our talent and our machines. We call this a new T&M model as managed services to deliver faster, better, cheaper and more for our clients. This is a very popular package flow adaptation, which really solves a lot of speed, scale and spend and complexities that many organizations still struggle with. We have them across the big 6, right insight, strategy, media management, performance, we're currently in a weekly launch cycle. The team is working at a really high velocity. If you want to see the next big Monks.Flow update, we'll be launching that at CES, and it will make it even easier for brands to move from agencies to agents across the big 6, insight, strategy, creative, versing variations and adaptation as sort of the scale push and then media deployment and performance. But it isn't just about technology. When you think through this from an expertise perspective, clients are really looking for 2 areas of expertise. One, the expertise to make change happen. That means providing our consultative services and ability to identify and prioritize AI use cases, then actually model and drive a change agenda across an entire organization. We combine that essential capability with deep, deep marketing expertise, which is really required to support the CMO, right? Consultancy or tech alone doesn't really work. We understand the jobs to be done because we spent well over 2 decades doing them, which makes us the best partner to bring this level of change to bear. When you bring these capabilities together, you get some really interesting outcomes. So what we'll show here in a moment is recent Agentic filmwork for Google Pixel. It showcases the power of Gemini's LLM stack and the Veo 3 video model. All of these are truly best-in-class. And the video will show isn't just fully AI generated. So all the output you're seeing is AI and also proves our past and kind of value when it comes to AI output. A large percentage of the pre, post and actual production work was also done by AI agents, help with scripts, storyboarding, territorial thoughts and choices, brand alignment, et cetera, et cetera, was done with Agentic workflows. Let's look at a quick video. [Presentation]
Wesley ter Haar: Thank you. Well, it's interesting depending on the size of our client organization, this type of solve can save millions, tens of millions, potentially hundreds of millions while still delivering at the highest creative standards that our industry expects. And that combination of agents and expertise is why clients trust Monks to help them navigate the most important shift they've seen in their business for perhaps a generation. And I'll end with a question that's driving all of these efforts. Do you think the future of media marketing and advertising involves more AI services and spending or less? Our belief is very clear, and it's driving every decision we need to make. And with that, I will hand it back to Sir Martin.
Martin Sorrell: Thanks, Wes. Thanks, Radhika, and thanks, Scott. So just a brief summary before we take any questions. First, on net revenue in the first half of 2025 was down 12.7% in reported currency and 10% like-for-like. For the full year 2025, our net revenue is expected to decline by mid-single digits on a like-for-like basis, primarily due to the macroeconomic uncertainty around tariffs as well and continued client caution. From an EBITDA point of view, in the first half, we were at GBP 20.8 million, which was in line with expectations. And we maintain our full year target for EBITDA for this year, which is expected to be broadly similar to 2024 on a like-for-like basis, driven by the phasing of new business revenue that we've mentioned and further incremental cost reduction actions, which are being implemented. Wins such as General Motors, Amazon, T-Mobile, PIF and a leading U.S.-based FMCG company that we will announce shortly are expected to ramp up in the second half of 2025, supporting a greater second half weighting this year than usual. Free cash flow in the first half was GBP 16 million versus GBP 3 million -- just over GBP 3 million in the first half of 2024, and we maintain our 2025 target net debt range of GBP 100 million to GBP 140 million. The company paid a first-time final dividend of 1p per share for last year on the 10th of July, and that amounted to just over GBP 6 million, and the Board will consider an enhanced final dividend for 2025 if the second half performance and liquidity targets are delivered. As Wes has gone through, we're seeing our AI initiatives produce even more effective and efficient solutions for our clients. And this capability is driving significant new business opportunities for us and broaden relationships with our existing clients. But we maintain a disciplined approach to managing our cost base and continue to focus on greater efficiency and greater utilization, billability and pricing. And finally, we remain confident in our strategy, in our business model and in our talent, which together with the scale client relationships position us very well for growth in the longer term. So with that as a summary, have we got any questions?
Operator: [Operator Instructions]
Martin Sorrell: No questions, operator? Okay. Thank you...
Operator: We seem to have no questions coming through, Mr. Martin.
Martin Sorrell: Thank you very much. Thanks, everybody, for joining us, and we will see you for our third quarter in a couple of months. Thank you very much. Thank you.